Operator: Good morning. My name is Julie, and I will be your conference operator today. At this time, I'd like to welcome everyone to the AGCO 2016 First Quarter Earnings Release Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. Thank you. Greg Peterson, Head of Investor Relations, you may begin.
Greg Peterson - Director-Investor Relations: Thanks, Julie, and good morning and welcome to those of you joining us on the call for AGCO's first quarter 2016 earnings conference call. We will refer to a slide presentation this morning, which is posted on our website at www.agcocorp.com. The non-GAAP measures used in the slide presentation are reconciled to GAAP measures in the appendix of the slides. We will make forward-looking statements this morning including demand, product development plans and timing of those plans, acquisition, expansion and modernization plans, and our expectations with respect to the cost and benefits of those plans and timing of those benefits, and our future revenue earnings and other financial metrics. We wish to caution you that these statements are predictions and that actual events may differ materially. We refer you to the periodic reports that we file from time to time with the Securities and Exchange Commission, including the company's Form 10-K for the year ended December 31, 2015 and all subsequent Form 10-Qs. These documents discuss important factors that could cause the actual results to differ materially from those contained in the forward-looking statements. A replay of this call will be available on our corporate website. On the call with me this morning are Martin Richenhagen, our Chairman, President and Chief Executive Officer; and Andy Beck, our Senior Vice President and Chief Financial Officer. Martin, please go ahead.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Thank you, Greg, and good morning. My comments start on slide three where you can see that the first quarter of 2016 AGCO sales were down by about 8%. While our products are performing well in the market, we felt the effect of weaker market demand and inventory reduction initiatives compared to the first quarter of 2015. Demand for agricultural equipment softened in all major world markets during the first quarter as weaker farm fundamentals continue to impact our industry. Our quarter was highlighted by strong execution on our inventory reduction plan and cost reduction initiatives. By lowering production compared to the first quarter of 2015 and curtailing the seasonal build in working capital, company inventories were lower by over $100 million on a constant currency basis from March 31, 2015 level. We also made progress with our dealer inventories in North America, which were also down from a year ago. Despite the current market difficulties, our long-term view remains positive. In addition to diligent cost management, we will be concentrated on initiatives that will drive long-term benefits and raise the efficiency of our factories, improve our service levels, and strengthen our product offering. During the first quarter, we also paid a higher dividend compared to the first quarter of 2015 and made progress on our share repurchasing program. Slide four details industry unit retail sales results by region for the first quarter of 2016. Growing global grain stocks are pressuring commodity prices, actually yesterday you saw beans were up, and estimates call for 2016 farm income to remain below 2015 levels. In North America, relatively young machinery fleet and dealer efforts to reduce inventory levels have contributed to continued decline in industry sales through the first quarter. Weaker demand from the row crop sector resulted in significantly lower industry retail sales of high-horsepower tractors, combines and sprayers. First quarter industry retail sales in Western Europe declined more modestly from 2015 levels. Milk prices declined further, and demand from dairy producers remained weak, while lower commodity prices kept market demand soft from the arable farming segment. Significantly lower industry retail sales in Germany, where we saw snow this morning in the dairy areas, and the United Kingdom were partially offset by increases in France and Finland. Regional industry demand declined more significantly in South America during the first quarter. In Brazil, growing political and economic uncertainty is curtailing investments in farm equipment. More supportive government policies in Argentina have finally contributed to higher sales in that market. AGCO's 2016 production schedule for factory production hours is shown on slide five. We are working toward a much lower seasonal build in our company and dealer inventories during the first half of 2016. Production hours declined 13% compared to the first quarter of 2015 levels. The lower production resulted in lower inventories but also contributed to weaker earnings compared to last year. We expect production to be down more modestly for the remainder of 2016 and we expect full-year production to be down by about 6%. Globally, our order board for tractors is lower at the end of March compared to March 31, 2015, with orders down in all regions and categories except for increases in low horsepower tractors. The most significant decreases are in high horsepower tractors in North and South America. I will now turn the call over to CFO Andy Beck, who will provide you more information on our first quarter results. Andy?
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Thank you, Martin, and good morning, everyone. I will start with a look at AGCO's regional net sales performance for the first quarter, which are outlined on slide six. Although both have recently strengthened, a weaker euro and Brazilian real resulted in adverse currency translation, which negatively impacted first quarter net sales by approximately 5% compared to the same period last year. Weaker industry demand also pressured sales results, especially in North and South America. For the first quarter of 2016, the Europe/Africa/Middle East segment reported an increase in net sales of approximately 4%, excluding the negative impacts of currency compared to the first quarter 2015. Sales growth in France and Scandinavia was mostly offset by declines in other markets. North American sales were down approximately 12%, excluding the unfavorable impact of currency translation during the first quarter of 2016 compared to levels experienced in the first quarter of 2015. Lower sales of sprayers, implements and high horsepower tractors were partially offset by growth in parts sales. AGCO's first quarter 2016 net sales in South America were down approximately 21% compared to the first quarter of 2015, excluding negative currency translation impact. Significant declines in Brazil and other South American markets were partially offset by strong growth in Argentina. Net sales in our Asia/Pacific segment increased about 19% in the first quarter 2016 compared to 2015, excluding the negative impact of currency translation. Significant growth in China accounted for most of the increase. Parts sales were $262 million for the first quarter 2016, which grew approximately 7% compared to the same period in 2015, excluding the negative impact of currency translation. Slide seven details AGCO's sales and margin performance. First quarter operating margins were negatively impacted by lower levels of demand and production, a weaker sales mix, and higher engineering expense. These impacts were partially offset by ongoing efforts targeted at labor, productivity and material cost, as well as continued focus on SG&A expense. The Europe/Africa/Middle East segment reported a decrease in operating margins of 125 basis points from the first quarter of 2015. A weaker sales mix and a competitive pricing environment drove most of the decrease. North America's operating margins were significantly lower in the first quarter of 2016 compared to the same period last year. The negative impact associated with lower sales and production and a weaker sales mix were responsible for the decline. In the South America region, weaker margins resulted from lower sales and production levels, as well as material cost inflation. Margins in the Asia/Pacific region improved significantly as production continues to ramp up in our new Chinese manufacturing facility. Slide eight details GSI sales by region and by product. GSI sales were up about 8%, excluding currency impact and including the benefit of acquisitions, for the first quarter of 2016 compared to the same period last year. In the first quarter, we completed a small acquisition in Europe specializing in the commercial ag equipment sector. Growth in protein production sales also across all regions increased on a constant currency basis and was partially offset by declines in grain storage equipment in North America. We are targeting a GSI sales increase of approximately 10% compared to 2015 on a constant currency basis, or about flat to slightly down excluding the acquisition. Slide nine looks at the increased investments we've made in our business over the last decade through both capital expenditures and research and development. After completing a number of major plant productivity projects meeting Tier 3 emissions requirements in both Europe and North America and making investments in new products, we reduced our CapEx and R&D programs during 2014 and 2015. We are continuing to make strategic investments to refresh and expand our product line, upgrade our system capabilities, and improve our factory productivity. Despite the softer demand environment, we intend to increase the level of investment to execute our product development plan, resulting in an increased CapEx and engineering spend in 2016. We expect our engineering expense to reach 4.2% of sales this year. Our spending plan in 2016 is needed to maintain our competitiveness and to support the long-term growth of our business. Slide 10 addresses AGCO's free cash flow, which represents cash used in operating activities less capital expenditures. Our seasonal requirements for working capital are greater in the first half of the year and thereby resulted in negative free cash flow in the first quarter of 2015 and 2016. We cut production to curtail the seasonal build and our use of cash during the first quarter, and our company inventory levels were lower than a year ago. We expect an inventory increase in South America during the second half of the year to build the necessary Tier 3 emissions transition stock. After covering spending on our strategic investments and Tier 3 inventory, we are targeting another strong free cash flow year for 2016. As I mentioned earlier, at the end of March 2016, our North America company inventories were lower than they were a year ago. However, due to declining market demand, the dealer inventory month supply on a trailing 12-month basis was higher for tractors and combines. Tractor inventories were in the seven- to eight-month range, and combines were about 5.5 months. Losses on sales of receivables associated with our receivable financing facilities, which is included in other expense net, were approximately $4.8 million during the first quarter of 2016 compared to $5.0 million in the same period of 2015. Moving on to the next slide, we continue to make cash returns an important component of our long-term capital allocation plan. In the first quarter, we repurchased approximately $60 million in shares under our current authorization. We expect to complete the remainder of the $500 million authorization during 2016. Our 2016 outlook for the three major regional markets is captured on slide 12. Our forecast anticipates softer market conditions in all three regions. In the United States, the USDA estimates that farm income will be down again in 2016 and, as a result, our North American industry forecast calls for a decline of 10% to 15% from 2015 level with a more significant decline in higher horsepower equipment. We have lowered our forecast for the South American region and now expect industry demand to be down about 15% to 20% from 2015 levels. Political instability, economic weakness, and uncertainty on the funding levels of the government-subsidized financing programs in Brazil are expected to contribute to weaker South American industry demand in 2016. Lastly, we expect a decline in the Western European market due to lower dairy and cereal prices that are expected to pressure farm income in 2016. Slide 13 highlights the assumptions underlying our 2016 outlook. While we're optimistic about the long-term growth opportunities for our industry and our business, the priority for 2016 continues to be managing our costs and lowering dealer inventories to better align ourselves with current market demand. Our 2016 forecast assumes softer industry demand across all regions and a sales decline of about 6%. Our sales plan includes price increases of approximately 2% on a consolidated basis, and at current exchange rates, we expect currency translation to negatively impact sales by about 2%. In 2016, engineering expense is expected to run at about 4.2% of our sales, which amounts to about an increase of $15 million on a constant currency basis compared to 2015. We also look for lower sales and production and a weaker sales mix to negatively impact gross margin. These negative impacts are expected to be partially offset by the benefit of new products and our productivity and purchasing initiatives. We're targeting an effective tax rate of approximately 30% to 32% for 2016. Slide 14 lists our view of selected 2016 financial goal. We are projecting 2016 sales to be about $7 billion with softer market conditions reducing overall sales volume. This impact is expected to be partially offset by pricing and modest market share gains. We expect gross and operating margins to be down from 2015, reflecting the negative impact of lower sales volumes and a weaker sales mix. The benefit of our cost reduction efforts are expected to be partially offset by the volume-related impact. Based on these assumptions, we are targeting 2016 earnings per share of approximately $2.30. We expect capital expenditures to be about $250 million and free cash flow to range from $150 million to $175 million. And with that, operator, we are ready to take questions.
Operator: Your first question comes from the line of Robert Wertheimer from Barclays. Robert, your line is now open.
Robert Wertheimer - Barclays Capital, Inc.: Yeah. Hi. Thanks for the detailed commentary. So, I guess, there's a couple of markets where we can see sort of headline tractor numbers being weak, Brazil and some countries in Europe, but you guys are doing better. So I'm wondering if you can talk about the offsets. Is Argentina growing big enough to be material, and is there maybe even more demand there that you just have to flow into it to hit? And then maybe just a little bit across Europe if the non-tractor stuff is all better than the headline numbers we sometimes see. Thanks.
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Sure, Rob. And as it pertains to South America, the Argentina market is up about a little over 10% in the first quarter, and that is offsetting what we see in Brazil. So Argentina is a market that's becoming a bigger proportion of our sales mix in Brazil, it practically doubled – I mean, in South America, it practically doubled here in the first quarter. And that's helping us from offsetting some of the weakness in Brazil and helping us from a margin standpoint as well. So those are our positives as it relates to that.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: And strategically, we were well prepared. We have a brand-new assembly factory near Buenos Aires, and we add to that factory an addition for the assembly of combine harvesters. So the timing of these investments is really great.
Andrew H. Beck - Chief Financial Officer & Senior Vice President: And then I think the other thing to point out, as we've said in our comments, our first sales in the quarter were up, and that's a good offset to some of the weakness in the industry demand. So we're doing quite well there, and our GSI business is not as – had some countercyclical aspects to it. We're seeing declines in the grain side of the business, but we're seeing growth in the protein production element and with that acquisition that we had. And so those were the reasons why I think our sales performed as they did.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: We very early raised our voice and talked to President Kirchner at that time to change their vote and now the new President does it, he is reducing export customs for farmers and that helps, which means also that a good political leadership can improve the economical environment of a country, and we hope that one day also Brazil will get it where the situation, of course, is very, very complicated and difficult right now.
Robert Wertheimer - Barclays Capital, Inc.: Thank you, Martin. Thanks, Andy.
Operator: Thank you. And our next question comes from the line of Joe O'Dea. Joe is calling in from Vertical Research Partners. Joe, your line is now open.
Joe J. O'Dea - Vertical Research Partners LLC: Hi. Good morning. On Europe, I think in your prepared remarks, you commented that orders across all regions were down. I think we started to see some improvement in Europe, sort of middle of last year and then since then maybe that's reversed a little bit. So, I just wanted to get your general thoughts on kind of the trends over the last several months in Europe, where we see some softening? And then, how we should think about France moving forward with some incentives that have been helping the market there recently?
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Sure. Joe, in terms of what's happened in Europe, as you point out, we saw a pretty good fourth quarter in Europe where the market was up and in particular, the French market was up fairly significantly because of these depreciation incentives that were in place, those depreciation incentives in France also helped the market in the first quarter. The market in France was up about 10% in the first quarter, which offset some weakness in other markets, particularly Germany. I think what happened was that French incentive was due to expire at the end of the first quarter, and so we saw a lot of demand here in the fourth quarter of last year and the first quarter this year. They have extended that program through the balance of the year, but a lot of the buying activity was pulled into this recent period. So, we are seeing a softening in our order board in France right now, and we expect it to firm back up later in the year. So, France was off to a good start, but we expect it to moderate here for the balance of the year. And so I think that's the main reason along with the weaker German market for our orders being down right now.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: The extension of the French program is good news, though, and I think during the year, it will help.
Joe J. O'Dea - Vertical Research Partners LLC: Okay. Thanks for those details. And then just on North America and the little bit improved outlook in general, if you could talk maybe about the split between high horsepower versus some of the smaller and midsized. It seems like the reported data we get on inventories in sort of 100-plus horsepower tractors, and you commented on trailing 12-month sales, it looks pretty high there. But just in general, whether you're actually seeing some underlying improvement in demand in the midsized and expect that to carry forward, and your comfort level with inventories in that category?
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Before Andy goes into detail, I just want to mention our basically strength is in the high-tech solution, high-tech tractors. We differentiate by technology and by quality from our competitors in the U.S. But, the segment we call the lifestyle farming segment, smaller tractors for people who just do a little bit of farming, we never really had a great product for. And behind the process of launching the Massey Ferguson Global, which is a very, very intelligent new design coming from less (25:58) cost countries like China and India, and this tractor will help us 2016 and also in the future to participate better in this segment where we were not strong enough in the past. And with this, Andy?
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Sure. I think your points are right in terms of what's happening in the market. In North America, we're seeing still pretty significant declines in the high horsepower tractors. So over 100-horsepower the market was down 30% or more in the first quarter, but on below 40-horsepower, up 30% and a little above flat on the 40-horsepower to 100-horsepower. What we're seeing in terms of our orders mirrors that and our order board is up substantially on the small horsepower sector and then down on the high horsepower tractors. And to compound that, as we talked about in our comments, we're working hard on getting our inventories down at our dealers on the high horsepower part of the business. And so, our dealer inventories compared to a year ago on high-horsepower equipment are down about 20%. So we're making good progress there, but that's certainly impacting our results. But as we look forward for the rest of the year, we do expect to see some strong participation in the market because of what Martin talked about, our new product lineup on the low horsepower side, and continued weakness on the high horsepower side. And certainly, that's – we're focusing on where there are strong markets and pushing very hard to gain market share in that sector.
Joe J. O'Dea - Vertical Research Partners LLC: That's really helpful. Thanks very much.
Operator: Our next question comes from the line of Adam Uhlman. Adam is calling in from Cleveland Research. Adam, your line is now open.
Adam William Uhlman - Cleveland Research Co. LLC: Hi. Good morning.
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Good morning, Adam.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Good morning, Adam.
Adam William Uhlman - Cleveland Research Co. LLC: I was wondering if we could circle back to the Europe question earlier and talking about the trends there. Could you talk about what you're seeing in Russia, and what exactly is driving the strength in Scandinavia? Do you think it can persist going forward?
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Well, when you look into Russia, I'm a little bit optimistic. It's not in our forecast because it's a very difficult market to understand, but there are a lot of discussions about the Europeans and maybe also Asia and the U.S. reducing or discontinuing the sanctions, which would be very helpful. You can see that the European and the Russian governments start to talk again. And, therefore, I think Russia has some kind of a potential. Our business in Russia is prepared for growth, so we have invested in a tractor assembly factory. The product coming out of that factory is very, very good. And we hope that Russia will be back to more normal condition soon. There's a certain tendency to support domestic product more than imported. And with the domestic, of course, the preference is on those companies which are Russian-owned. Well, that speaks in our favor because we entertain a joint venture, so we are not a – we're not seen as a foreign player, so hopefully we can see some positive surprises in Russia during this year. When it comes to Scandinavia and Finland, we know the market very well, we enjoy great market shares. And I think due to the fact that we improved our distribution efforts and have very great partners with the Lantmännen organization for example in Scandinavia, I think we also have some upside potential we can see there. One of the other competitor in that distribution channel is out and we normally should see market share gain.
Adam William Uhlman - Cleveland Research Co. LLC: Great. Thank you very much.
Operator: Our next question comes from the line of Andy Casey. Andy's calling in from Wells Fargo Securities. Andy, your line is now open.
Andrew M. Casey - Wells Fargo Securities LLC: Thanks a lot. Good morning. You referenced competitive price pressure in North America. Could you let us know what's your consolidated price realization was during the first quarter?
Greg Peterson - Director-Investor Relations: Yeah. Sure, Andy. We had talked about that 2% was our target for the full year and we indicated that some of the regions would be higher and some lower. So, overall, in the first quarter, we were just under the 2% that we're still targeting for the full year. On the material side – so that's on the gross pricing side. On the material side, I should say net pricing. On the material side though, we didn't really see any inflation to speak of. So, net pricing was very similar to, including at material was still very positive. The downside for us though is the lower production levels and lower absorption rates, as well as weaker mix, virtually, well and definitely in Europe and in North America offset that nearly 2% pricing that we felt. So gross margin-wise, we were just down just a little bit, and most of the remainder of that was a function of the transactional currency impacts.
Andrew M. Casey - Wells Fargo Securities LLC: Okay. Thanks, Greg. And then has the 2016 guidance become more or less back half-loaded because you had a little bit stronger than expected Q1 performance? But in your discussion, you kind of talked about continued North American dealer inventory increases, and then a anticipated lull in France. So I'm just wondering, has the pattern for earnings through the year just got pushed more into the back half, or is it pretty consistent with what you expected before?
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: I think with a stronger first quarter, you could say we are less back loaded a little bit, but we have been back loaded, and that didn't change substantially. But, I'm optimistic that we will be in a position to deliver.
Andrew M. Casey - Wells Fargo Securities LLC: Okay. Thanks. And last question on the net pricing. You didn't see much in terms of material inflation during the beginning of the year. Given some of the movements in the raw materials, do you expect any material inflation to impact margins in the second half?
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Personally, I don't, because steel prices might even go down more. So I think we should do fine.
Andrew M. Casey - Wells Fargo Securities LLC: Okay. Thank you very much.
Operator: Our next question comes from the line of Ann Duignan from JPMorgan. Ann, your line is now open.
Ann P. Duignan - JPMorgan Securities LLC: Good morning. It spelled Duignan. But, anyway...
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Yeah. We get new versions of your name all the time so...
Ann P. Duignan - JPMorgan Securities LLC: I know. It keeps it interesting. Can we talk a little bit about the health of your dealer distribution network in North America? I know you're not as exposed to the high-horsepower sector, but speaking to dealers out in the field, there is a concern that there may need to be some consolidation. Could you just update us on what you're hearing from your dealers, Martin?
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Yeah. First of all, our top 10 dealers are extremely strong, most of them are Caterpillar dealers, and we don't have any concern here. A lot of those guys invest. We also do not have a problem of dealer consolidation by, let's say, in any negative manner. So we see some of the Cat guys buying traditional eco dealers, and that's all coordinated and discussed with us. We add some dealers again to our network and that's new due to the need for a little better coverage in some areas of America for those small tractors we already talked about. And this is all, I think, good news. We do not worry about our partners, our dealers here in the U.S.
Ann P. Duignan - JPMorgan Securities LLC: Okay. Very good. And then on France, we had expected a pull forward of demand that has happened because of the incentives. But I think you said you'd expect orders to pick up again towards the end of the year. I'm just curious, Martin, if the fundamentals remain as weak as they are, why would orders pick back up at all?
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: I think what will happen is, first of all, it might slow down a little bit now during the second quarter and maybe the third quarter and I would think it will come back towards the end of the year depending on what the discussion or the rumors are about the program. So, if the program 2017 will be discontinued, I think you will see some increasing demand at the end of the year because of the program and also because of the tax optimization of the farmers.
Ann P. Duignan - JPMorgan Securities LLC: Okay. I'll leave it there and get back in queue. Thank you.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Okay.
Operator: Our next question comes from the line of Jerry Revich. Jerry from Goldman Sachs, your line is now open.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Was it Jerry Rubbish?
Jerry Revich - Goldman Sachs & Co.: I've been called worse. Good morning, everyone.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Good morning.
Jerry Revich - Goldman Sachs & Co.: Andy, can you just say more about the pricing pressure point you mentioned when you were talking about the European margin drivers within the context of 2% pricing in the quarter for the whole company? I think you said margins in Europe were down because pricing was a headwind. Can you just triangulate few data points for us? Was pricing significantly stronger than 2% in other regions?
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Yeah. We're seeing a stronger pricing in South America as we try to offset the inflationary impact that we're seeing in that market and from an exchange rate impact. So, we're targeting fairly substantial price increases in Brazil for the full year. In Europe, we don't expect higher pricing from that standpoint. So, the Western European pricing that we're seeing was relatively low here in the first quarter. That wasn't really unexpected. The markets are trending weaker with the exception of what we saw in France, and so that does weigh on the ability to get pricing. We still believe that we'll have positive pricing in Europe for the full year, but it will be below that 2% on average.
Jerry Revich - Goldman Sachs & Co.: Okay. Thank you. And can you talk about the moving piece around the guidance? You worked through headwinds in terms of taking down the guidance for South America, so you impacted your organic sales outlook. And it looks like material cost, if steel prices don't come down, could be an incremental headwind. So, what's gotten better versus the initial guidance?
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Right. So, Jerry, we – as you mentioned, we took down the forecast for South America. And actually, within the range that we had for North America and for Europe, we ratcheted that down just a little bit. And then that was offset by a better outlook in terms of currency. If you notice, we took – last quarter, we said we're going to have negative currency impact of about 3.5%, and now we're saying 2%. And then, the other thing that we were able to positively impact the guidance with was the acquisitions that we touched on briefly.
Jerry Revich - Goldman Sachs & Co.: Okay.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Don't worry about the guidance, guys.
Jerry Revich - Goldman Sachs & Co.: Thank you.
Operator: Our next caller is Mike Shlisky. Mike is calling in from Seaport Global. Mike, your line is now open.
Michael David Shlisky - Seaport Global Securities LLC: Hey, guys. I just want to ask about France, a quick follow-up question there. I guess, my question is, this has been since, I guess, through most of 2016 here. I think by that point we'll have almost two years of incentives in place, and people have been purchasing equipment that they might not have probably wanted initially. So, I guess, my big question here is, if and when program expires, is there a chance for there to be any kind of used market overhang in France at any point? And if so, are there any ways to maybe export used stuff outside of France to other countries going forward? Thanks.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: In Europe, we typically have subsidy programs in most of the markets, and normally, we don't worry so much about it. In Italy, we've had for many years the so-called scrapping laws (37:55). We talk to the Spanish government, and they did do something similar. So, it's not something very exceptional what we see here. Farmers are used to it. It has a certain positive impact, but farmers in France or a lot of farmers in France are very, very professional, so the market is big. It's the biggest farm equipment market in Europe, and, therefore, I don't worry so much about France because also overall, the levels are by far not where they have been when the market peaked. So, therefore, yes, it's okay and it's good for the industry, but if those subsidies disappear, I don't think that the market will break apart.
Michael David Shlisky - Seaport Global Securities LLC: Okay. Thanks very much, guys.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: What is much more important for France is the new government. So, if in the election, and that will happen, the socialistic government will be discontinued because the support for the President is around 10% only, this could really boost our business much more than a subsidy program.
Michael David Shlisky - Seaport Global Securities LLC: Got you. Thank you.
Operator: Your next question comes from the line of Steven Fisher from UBS. Steven, your line is now open.
Steven Michael Fisher - UBS Securities LLC: Thanks. Good morning.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Good morning.
Steven Michael Fisher - UBS Securities LLC: On the FinCo JV earnings, to what extent have your expectations for the year changed there, and if it's been reduced, how much of that is order trends versus credit quality versus used equipment values?
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Yeah. We're expecting that the income in our FinCo to be down this year, but mainly just because of portfolio shrinkage because the market and the sales demand has been coming down. The performance of the portfolio is still very good, and we're not seeing any significant issues associated with lease contracts or anything like that. So it's all just basically shrinkage of the portfolio.
Steven Michael Fisher - UBS Securities LLC: Okay. So no change since the beginning of the year expectations there.
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Not really. No.
Steven Michael Fisher - UBS Securities LLC: Okay. And, Martin, I've now stopped worrying about guidance, but I'll ask about it anyway. At the beginning of the year, you had kind of presented it as being conservative. So how are you thinking about it now?
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: It's more conservative.
Steven Michael Fisher - UBS Securities LLC: Okay. Thank you.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: We were thinking about raising it. Because of all the uncertainties in the market, we didn't want to do that. But I think – my point of view is that, as of today, it looks more conservative to me than it did when we talked last time.
Steven Michael Fisher - UBS Securities LLC: Okay. Thank you.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: It's impossible to get that in your model, right?
Operator: Our next question comes from the line of Jamie Cook. Jamie is calling in from Credit Suisse. Jamie, your line is now open.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Hi. Good morning. Just two follow-up questions. Martin, obviously, FINAME has been unclear. Can you give us any color on when we expect to get more resolution on that? And then, I guess, also you talked about, I think, building inventory ahead of the emissions change in South America. Has that number changed at all and how do you factor that in with concerns around FINAME? And then my second question, I think, Andy, in the prepared comments you said your dealer inventories for high horsepower were down 20%. What are you targeting for the year? Thanks.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Jamie, just a short feedback on Brazil. I don't see a lot of changes within FINAME because of the political situation. So, even if the President would be out because of the impeachment process, which most probably will happen, the second in charge would be automatically take over is also – he's the Speaker of the House, we would call it, is also subject to fraud investigation and his successor is the Vice President, who has the same problem. So that means we have a certain political instability and it's all around funding of FINAME through BNDES through the state bank and I think they will be rather conservative. The important question is the distribution of the funds between farming and some other industries and there, I'm a little bit more optimistic. So, I think we will be in a phase of uncertainty around financing in Brazil for quite a while. We will look into it a little bit more in detail in order to find out what can AGCO FINANCE do in order to help.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): And then just, sorry, as well on the – I think you said inventory build in the back half of the year. Has that number changed at all, and how do you factor that in?
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: So I hand over – Andy will answer your question.
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Yeah.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Okay. Cool. Thank you.
Andrew H. Beck - Chief Financial Officer & Senior Vice President: On the inventory build to transition to Tier 3, we're still looking at around $75 million to $85 million in inventory. We've got other reductions in inventory across the world so that we don't expect to have that fully (43:44) increase our inventory level. So, our inventory should be somewhere slightly (43:50) above, I would say, $25 million to $50 million above last year at the end of the year. But that number hasn't really changed. It's one that we continue to monitor because, as you point out, it depends on what the market conditions look like. Also, it depends on when the timing of when we'll release our new products in the market that are Tier 3. So we'll continue to monitor that throughout the year.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Sorry, then, Andy, just on the dealer inventory. They're down 20% on high horsepower?
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Yeah. Our dealer inventories are down 20%. We're targeting somewhere 20% to 25% for the full year. Obviously, they were working them all year last year. So that's a pretty aggressive target, but we're tracking towards that goal.
Jamie L. Cook - Credit Suisse Securities (USA) LLC (Broker): Okay. Cool. Thank you.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Thank you, Jamie.
Operator: Your next question comes from the line of Tim Thein. Tim is calling from Citigroup, your line is now open.
Tim W. Thein - Citigroup Global Markets, Inc. (Broker): Great. Thanks. Good morning. Just to come back to Europe, you had highlighted adverse mix as being a factor on a year-over-year basis. Can you just help us, is that more of the timing of new products? Is it more country mix-related? And what does the outlook in terms of how the order board shapes up now, how would you expect – or what would be the expectation for that mix component as we move through the year?
Andrew H. Beck - Chief Financial Officer & Senior Vice President: We think most of it will turn back around. We had negative mix on a product basis and a market basis. I would say that a lot of it just turns around depending on when we have new products coming out and things like that. So, overall, we don't expect our margins in Europe to be down as much as we saw in the first quarter. We expect that to moderate for the rest of the year. The one market – the German market is one of our stronger markets in terms of profitability. And so, that's the only one that kind of should affect us for the full year.
Tim W. Thein - Citigroup Global Markets, Inc. (Broker): Got it. Okay. And then just on GSI, and it has been ongoing here for a while, but kind of a split between storage and protein is now in balance. What – in terms of the full-year forecast, how would you expect that to shape up? And obviously, it has implications from a margin standpoint with storage relative to protein, but how are you thinking about that for the remainder of 2016?
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Yeah. I'm not sure I have the split percentage-wise, but what we're seeing is for GSI that our grain business sales, we're projecting those down about 10%, I believe, and that protein business up about 10%. And so, that's going to impact – continue to impact that mix positively towards the protein side. And to your point, the grain business has a little higher margin than the protein. So, we do expect the margins to be a little lower than a year ago.
Tim W. Thein - Citigroup Global Markets, Inc. (Broker): Okay. Understood. Thank you.
Operator: Your next question comes from the line of Larry De Maria. Larry is calling in from William Blair. Larry, your line is now open.
Larry T. De Maria - William Blair & Co. LLC: Hi. Thank you. I jumped on late, so I apologize if I missed some of this. But, just a couple of quick things. Can you any way discern what the weather impact in Brazil is and if there's further downside pressure this year from the weather that's going on currently? Also, specifically in the second quarter, obviously the Street is looking for a big ramp-up and you're talking about a bigger second half. Is there a specific second quarter number that you're guiding towards?
Greg Peterson - Director-Investor Relations: Hey, Larry. So, first, the weather in Brazil. As you know, it's been very dry and the soybean – estimates for soybean production there has been cut a decent amount, and we did see over the last month or so the kind of reaction in commodity prices with those lower production estimates. At the same time, we're seeing that dryness across Brazil, Argentina has been very wet. So, while they're trying to harvest, that's a problem. So, net-net, production in South America is down and at the same time, estimates for North America still remain very strong. Planting is ahead of schedule. So, as of today, we're still looking for a pretty strong global production output. So that's kind of, in a nutshell, where we stand.
Andrew H. Beck - Chief Financial Officer & Senior Vice President: And then, Larry...
Larry T. De Maria - William Blair & Co. LLC: (48:41) – yeah?
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Yeah. On the second quarter, we expect our sales to be down again partly a little by currency and then the market. Operating margin is down, at least probably about 150 basis points. And so, our EPS guidance for the second quarter is – or expectation for the second quarter is pretty much what you see out in the consensus right now, kind of that low $0.90s on EPS.
Larry T. De Maria - William Blair & Co. LLC: Okay. That's great. Thank you very, very much.
Operator: Your next question comes from the line of Seth Weber. Seth is calling from RBC Capital Markets. Seth, your line is now open.
Seth R. Weber - RBC Capital Markets LLC: Hey. Good morning, everybody.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Hi, Seth.
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Good morning.
Seth R. Weber - RBC Capital Markets LLC: Just going back to the production outlook for the year down 5%, just to tie this up. I mean, do you think if production is down 5% that you'd exit the year basically in balance with retail demand at that point?
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Yes.
Seth R. Weber - RBC Capital Markets LLC: That's the objective. Okay. And then just separately, on the parts business, revenue up 7%, does that represent an acceleration? Is there anything that we can glean from that? Or I just don't have the numbers where it's been trending over the last couple of quarters.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: What typically happens in our industry when new equipment sales are down, you expect parts business going up because you have basically more older equipment in the field, and that is what we see also this year.
Seth R. Weber - RBC Capital Markets LLC: So, 7% is an acceleration?
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Yeah. We don't expect to be up 7% for the full year. We expect it to be probably up modestly for the full year, but we did get off to a good start and are optimistic based on what, as Martin said, that we might do little better than we expect there because when the markets are down, your opportunity is to sell more parts.
Seth R. Weber - RBC Capital Markets LLC: Sure. Okay. And then just lastly, have you seen any impact from the UK incentive program that went in place recently and do you expect any impact over the next couple of quarters from that?
Greg Peterson - Director-Investor Relations: Yeah. Seth, not really. The market is still down about 10% in the first quarter. That was kind of an interesting program that allowed the farmers to go back, I think, it's like five years and do some income average in it. I haven't heard or seen any kind of major change in the demand pattern. So, we're still waiting there.
Seth R. Weber - RBC Capital Markets LLC: Okay. Thank you very much, guys.
Operator: Our next question comes from the line of Joel Tiss. Joel is calling in from BMO. Joel, your line is now open.
Joel Gifford Tiss - BMO Capital Markets (United States): All right. Thank you. Martin, since you're so plugged in with all the political regimes around the world, I wonder if Donald Trump's walk can keep La Niña out of the country.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Well, I hope that Donald Trump doesn't – well, let's say, we need to be careful here because all populist politicians who want to insulate the country would be very bad for business. So, we need open markets. We need freedom of state. We think – our industry thinks that we need TTIP and TPA. So hopefully, he will settle down and let's say get to a more moderate point of view soon.
Joel Gifford Tiss - BMO Capital Markets (United States): Yeah. I wonder are there any signs from your parts business that the equipment in the field is wearing out.
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: Well, not really, so because our quality is so good. But it's typical, when you put more hours on your equipment, you see some more wear and tear in some of our parts business.
Joel Gifford Tiss - BMO Capital Markets (United States): Okay. And I just wondered if you could give us a couple of examples of what you're doing on your engineering projects just so we can understand where that extra capital is going?
Martin H. Richenhagen - Chairman, President & Chief Executive Officer: We don't do that on a call like this because those are projects we do not want to disclose to competition. But maybe Greg can talk to you a little bit more after the call.
Greg Peterson - Director-Investor Relations: And more broadly, Joel, we are getting our platform programs under way and that continues to be a significant part of the spend that you see in terms of our engineering spend.
Joel Gifford Tiss - BMO Capital Markets (United States): All right. Thank you very much.
Operator: And our final question comes from the line of Ross Gilardi from Bank of America Merrill Lynch. Ross, your line is now open.
Ross P. Gilardi - Bank of America Merrill Lynch: Yeah. Good morning. Thank you. Could you guys just clarify what GSI was up ex the – up or down ex the acquisition in the first quarter?
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Yeah, sure. Ex the acquisition, our sales were down about – around, a little less than, I think, 10% in the first quarter. I'd say three quarters of that decline were in Europe, where we had kind of a big deal that we finished, we wrapped up in the first quarter of last year in Eastern Europe. And so, that was kind of an unusual sales amount that we had there last year which impacts that. So, we don't expect to be, as we said before, down 10% all year. We're looking to be closer, much closer to flat excluding the acquisitions for the full year.
Ross P. Gilardi - Bank of America Merrill Lynch: Do you have any visibility on that flat, like in your order book now? Or is it just expecting things to turn around in the second half of the year?
Andrew H. Beck - Chief Financial Officer & Senior Vice President: Yeah. The GSI order book is typically really fairly short. It's one or two months. So we don't have a book of business. We just know what customers are telling us, dealers are telling us. And so, that's just a projection of what we think we're capable of achieving.
Ross P. Gilardi - Bank of America Merrill Lynch: And then, how do you figure out how much inventory to pre-build in Brazil right now when there's just like no demand? I mean, is there – do you think you'll get any type of pre-buy or anything? I mean, it's obviously a very tough market, but how do you think about that? Is there any pre-buy built into your market expectation in the fourth quarter in advance of the emission transition?
Andrew H. Beck - Chief Financial Officer & Senior Vice President: I think there might be a little there, but I think customers will also know that those products will be available, in most cases, early in 2017 as well. We just look at what we – we have a projection of what the industry will be and what our sales will be, and we obviously are looking at when we're going to introduce those new products, and that's what we're targeting for the amount of inventory we need to build. But to your point, it is a little difficult because we're having to project what the different markets could be and make sure that we have enough inventory not to disrupt our business.
Ross P. Gilardi - Bank of America Merrill Lynch: Thanks a lot.
Operator: At this time, I'd like to turn the call back over to Greg Peterson.
Greg Peterson - Director-Investor Relations: Thanks, Julie. I'd like to thank everybody for participating today and encourage you to follow-up later with me, if you have additional questions. Thank you and have a great day.
Operator: That concludes today's conference call. You may now disconnect.